Operator: Hello, and welcome to the Alstom Fiscal Year 2024-2025 Half Year Results Conference Call. Please note, this call is being recorded. Please note this call is being recorded and for the duration of the call, your lines will be on listen-only. However, you will have the opportunity to ask questions at the end of the call. [Operator Instructions] I will now hand you over to your host, Mr. Henri Poupart-Lafarge, CEO; and Mr. Bernard Delpit, EVP and CFO, to begin today's conference. Thank you.
Henri Poupart-Lafarge: Good evening, everyone. Thank you for joining this conference call to review Alstom's first half fiscal year 2025 results. I'm Henri Poupart-Lafarge, Chief Executive Officer; and with me is Bernard Delpit, Executive Vice President and CFO. And before Bernard goes into the financial details, let me give you some of the headlines. First of all, we had a good H1 performance, a sound H1 performance. That's in a difficult environment, in particular regarding the supply chain, and I will go back to it later on. We continue to work decisively on our trajectory and our roadmap to implement our operational roadmap, and this allows us to confirm our guidance for the full year. So what about our priorities going forward. The first one, as always, is to continuously improve the quality of our backlog through first the selectivity and an improved mix towards service and signaling. We are also focusing on the geographies where we have a strong presence and a strong competitive advantage. Second priority is to improve our project execution, again, in a difficult environment during this first half, where supply chain is now impacting our product line. This requires to be more agile than ever and we managed to manage operations, so that we can minimize any disruptions related to the supply chain issues. The third priority is about our industrial efficiency. As you know, we have a large manufacturing setup, it is around 80 assembly lines and across more than 50 factories. So we have started to optimize this setup. You'll recall that this is the phase in which we are now after having deployed our processes. We are now in a phase of industrial restructuring, and we have started notably in Germany with a plan, which has been announced beginning of October. So moving on to the main numbers and our recent results in this context. First of all, we are pleased with the commercial momentum with €10.9 billion of order intake in the first half, which is consistent, by the way, with our priority towards high-quality, margin accretive orders as the increased focus on signaling and service projects. Book-to-bill stands at 1.25, which is supporting our growth strategy. As far as sales is concerned, we have 5.6 increase in organic sales, which reflects the continuous backlog execution, of course, and which is consistent with our guidance of around 5% for the full year. Adjusted EBIT is at €515 million, up 18% compared to the same period of last year, and the margin came at 5.9%, thanks basically to the growth and the cost savings and the improvement in gross margin. This puts us on track to deliver around 6.5% adjusted EBIT margin for the full year according to our guidance. The free cash flow was negative €138 million, came above our guidance, which was, I call you, negative €300 million to €500 million. This year, I mean, the typical working capital seasonality between the two halves of the year has been mitigated by the solid book-to-bill and the strong down payments during the first half. Compared to our communication in May, we now expect down payments to be more first half weighted this year, and therefore, we leave the free cash flow guidance unchanged for the full year. Let's look at the demand environment. In 2023, as you may recall, we saw a peak in industry orders driven by recovery plans post-COVID, adding to the solid secular growth. While the market is stabilizing now, it remains at a higher level than in 2019 and the previous peak year. And according to the recent UNIFE study, which has just been released, our addressable market is expected now to grow at nearly 3% annually during 2027, 2029. And historically, if you look in the past, we have always exceeded or the market has always exceeded this forecast. And it's worth to emphasize that the industry is influenced by long-term trends, very regular and solid and resilient long-term trends. The first of it is the passenger ridership, which has been restored after COVID. And in most countries now, the passenger ridership is at the same level or even exceed the last peak of 2019. We see continuous investment in rail infrastructure across the globe. In India, for example, we have finalized or India has finalized electrification of its network. Deutsche Bahn in Germany has at a record level of CapEx spending in 2024. The rollout of the ERTMS signaling system in Europe is now being launched and continued in Italy. The liberalization, degradation of the very high-speed market in Europe and in particular, in France is attracting new operators and which is also encouraging product standardization. Finally, the fleet replacement is at high speed and high space. Globally, two-third of our orders are concerning a fleet replacement. In this environment, which is a very positive environment, we can maintain and we will maintain our policy of selectivity and of quality -- high-quality order intake. If you look at numerically at the order pipeline, we see a €200 billion of pipeline in the next three years, stable more or less in Europe, increasing in Middle East and Asia Pacific and notably with a number of very large projects to come. The market in the Americas has been a little bit slower than what we expected with a number of projects right shifting. And we have also seen some slowdown in the green mobility and the green traction as the supply chain for batteries and fuel cells are yet to be matured. So overall, again, a very nice pipeline, encouraging and supporting our strategy of high-quality order intake and selectivity. If you look at Q2 and the order intake during this first half was definitely more skewed towards the second quarter, and we had a solid €7 billion order during the Q2. And in particular, let me outline three landmark projects. The first one is a major order in Germany for S-Bahn Cologne for €3.6 billion, in line with our strategy, it's a bundled project, including 34 years of maintenance. In line as well with our strategy of Signalling, we have a very large signaling project in Western Australia, one of the largest ever for €650 million. Finally, in France, the first order won by a private operator for very high-speed train in France for €850 million, including 15 years of maintenance. Here as well, we are increasing and we are investing in our high-speed production capacity to cope with this increasing demand, as you have seen as well with the announcement on the order of very high-speed in Morocco. During Q2, it's worth mentioning as well that we have recorded around €2 billion of base orders, which is a very solid level at group level. And as you know, these base orders are usually margin accretive. Talking about margin, let's look at the gross margin in backlog, which you know is a very important indicator, not only a reflection of our past commercial successes, but also a good indicator for the future profitability of Alstom. So the average gross margin in the backlog now stands at 17.8% at the end of the first half year, which is now more or less back to pre-merger levels and the gross margin in the order backlog is expected to continue to grow around 50 bps per year since the merger, and it's continuing to be in that direction, basically because we are executing some of the lower-margin contracts which we have generated from the BT legacy backlog. And with this lower margin contract comes as well from time-to-time, some options, which were also lower margins. And we are replacing these lower-margin contracts, but as I said, high-quality order intake, both on rolling stock but also on the mix on services and signaling. Let me, by the way, highlight the fact that for rolling stock, we have gradually year-after-year, improved the gross margin in order intake of rolling stock activities by one percentage point each year since the merger. So we are also improving the quality for order intake in rolling stock. Our priority, as being said, is the execution of our project remains our priority in this environment. We, of course, focus on all what we can control, but it's fair to say that recently, we have faced some new external challenges. Over the past years, we have navigated across a number of challenges, including the iconic component shortages, the inflation spikes, and we have been, I think, essentially quite agile and quite successful in mitigating these challenges. However, this first half, we had to face new challenges coming from our supply chain. Basically 60% to 70% of our delays in rolling stocks are today due to supply chain challenges. So we have increased our monitoring on all our suppliers, and in particular, on 69 suppliers, which could potentially impact our production line. The reason behind these new challenges is partially due to the high demand across the industry, which has put pressure on a number of small suppliers. We are also facing some challenges in some suppliers for which the technology is not fully matured and here I mentioned batteries or fuel sales. We are taking a number of decided steps in order to manage these issues and reduce all the delays in our deliveries. We have not been where we wanted to be, but we continue to improve the situation. We continue to improve our day-to-day operations. And we are confident that we'll come over this challenge as we have gone over these challenges of electronic components or inflation. Giving some examples of our projects, we are currently managing a very diversified portfolio of 2,500 projects and 100 to 150 are considered as critical due to their size or their technological challenges. So of course, our portfolio management is to manage seamless execution of the vast majority of this project to mitigate the ones which are challenging. So just to give you a few recent achievements. For the Greater Paris, we have delivered on time for six lines to prepare the Olympic Games, and this has been really recognized as a great success. We have also turned around several legacy projects, and I just mentioned a few of them, some locomotives in South Africa for Transnet and have been in South Africa quite recently. And I can tell you that the turnaround is extremely impressive. We have also turned around the project of M7 for commuter trains in Belgium, both in the position in [indiscernible] and Bruce. And finally, as you probably have seen, we have managed to turn around the issue of the Talent 3 project, which was originally for ÖBB in Austria and which has been recently sold to the leasing company, RockRail, it's quite a nice achievement. On 2 projects, we are continuing our efforts, the first one on track, where we are continuing to provide with SRA. We have moved to Stage 2 and Stage 3 of the testing, and we hope that we can move on to the certification and homologation in the coming future. Half of the cars have already been produced and delivered. Finally, Aventra, which continues to way on our P&L. And in the first half, we have delivered 130 cars, which have been delivered and accepted. We are now entering into the final negotiation to finalize the acceptance of the full cars or the remaining cars and to close out all various supply contracts associated with the project. But again, it has impacted again our P&L for the first half. Regarding the rolling stock production, which is on Slide 11. In the first half of the year, we have produced 2,000 cars, which is 11% decrease as compared to the same period of last year. But just to highlight a few points. First, we are the end of the production in Derby. And last year, we produced around 300 cars in Derby during the same period. And this year, we have not produced any car because here, we are talking about the car being produced and the car being delivered. Second, we have a number of projects in start-up sales, in particular, in Germany, and these projects have delivered sales on design and certification activities, but not yet in the production phase of the car. So we expect the production to increase again during the second half as we are ramping up and to reach around 4,400 to 4,600 at year-end with again the project in start-up phase maturing. These were a few introductory comments. And now I will hand over the floor to Bernard for a more detailed financial review. Thanks, Bernard. The floor is yours.
Bernard Delpit: Thank you, Henri. I'll start with Page 13. So we recorded €10.9 billion of new orders in the first half of the year. From a regional perspective, Europe remains a mosaic region, accounting for most orders. From a product line perspective, book-to-bill was around 1 for rolling stock, 1.8 for Services and 1.7 for Signaling. It was a very small semester for system orders traditionally lumpy. At group level, the book-to-bill stands at 1.25 with a mix in line with the objective to progressively rebalance the backlog between rolling stock and Services. As already mentioned, we are pleased with the quality of the order intake for the first half, in line with what we already mentioned for Q1, well above backlog, boosting gross margin. You can see at the bottom the illustration of the mix evolution on Alstom's order intake with Services and Signaling exceeding now 50% of the order intake for the first time since the merger. Turning to sales on Slide 14. The group recorded sales of €8.775 billion in the first half. Organic growth for the period stood at 5.6%, Currency had a negative effect of 90 bps, mainly due to US dollar pegged currencies. Scope had a negative 70 bps impact, notably from Spain joint ventures, not consolidated anymore and to a lower extent from the recent disposal of our US conventional Signalling business. Rolling stock organic growth stands at 2%, in line with Q1 release with an important shift in the contract mix when compared to last fiscal year, namely the ramp down of Aventra and the ramp up in sales in France, Italy or South Africa. It's also worth mentioning, double-digit organic growth of Services at €2.2 billion and of systems at €800 million. They are driving the group 5.6% organic growth in H1. Last, Signalling product line is reported stable in this first half, but system sales are including Signalling activities. So all in, organic growth of all Signalling activities is closer to 5% in H1. Turning to the P&L review on Slide 15. Gross margin continues to progress to 14% of sales. R&D is stable in euros, with as usual, some seasonality here, we expect a slightly higher R&D on sales in the second half. Selling and administrative costs are reducing from 6.4% to 6% of sales, thanks mainly to the cost saving initiatives launched in H2 last fiscal year. Finally, JV's contribution was €71 million during the half year, an improvement of €6 million compared to the same period last year. In China, urban market is challenging, but high speed has a strong momentum and the ASC joint venture is benefiting from this new phase of investment. It should be noted that this is the only JV with a non-Chinese partner benefiting from the rise in high-speed orders in China and the Signalling success story, CASCO, continues to deliver on this profitable growth trajectory. All in all, adjusted EBIT came at €515 million for the first half, representing a 5.9% margin and the 70 basis point increase against last year. Turning to the profitability bridge. The main drivers behind adjusted EBIT margin for the half year are consistent with the trajectory we explained at full year results in May. Volume and mix contributed for 25 basis points mainly from volume effect at 20 bps, Aventra program has weighted again on the P&L for an amount equivalent to last fiscal year and we entered into the phase of modifications and final negotiations of this project. Higher industrial efficiency also through reduction of under-absorption of fixed costs versus last year and cost-saving plans launched last year are progressing well with the overhead reduction plan ongoing. Finally, scope had a small negative impact, it should be slightly higher for the full year as the sale of North American conventional Signalling business happened early September. Let's now take a look at the items below adjusted EBIT. The capital gain of €21 million mainly comes from the disposal of US conventional Signalling business. Nothing to report on restructuring. As a reminder, we have €230 million provisions to handle current plans on overheads and industrial footprint. Integration cost reached €51 million, in line with the guidance of a range between €90 million to €100 million for the full year. I confirm that we are close to completing this effort with the last countries switching to Alstom IT systems in January 2025. Net financial expenses are slightly above last year. Net interest charges were reduced by €24 million as a result of the deleveraging plan with impact starting in Q2. However, this will more than compensated by hedging cost, where we had a positive one-off last year and the €12 million increase in bank fees, notably due to terms of last year RCF now terminated. Finally, the effective tax rate increased to 37% due to a non-cash depreciation of some deferred tax assets in some countries consistently with the mid-term plan, the structural effective tax rate remains around 27%. All this is leading to an adjusted net profit of €224 million for the first half. On slide 18, we use the same framework for the analysis of the free cash flow as last year. So EBITDA, including JV dividends increased to €708 million in the first half from €592 million in the same period last year. This represents slightly above 8% of sales against 7% in the same period last year. CapEx and Cap Dev reached 2.5% of sales in the first half against 1.8% in the same period last year. Consistent with last year, we expect this to land around 3% of sales for the full year. After deducting cash out related to financial and tax charges, terms from operations reached €282 million in the first half. Working cap change represented €420 million cash outflow in the first half, structural seasonality on trade working cap was partly compensated this year by a more favorable phasing of down payments that load to keep contract working cap stable. Bottom-line, the free cash flow stood at negative €138 million. Looking at the second half, we expect positive FFO in H2, but lower than H1. Working cap reversal during the second half of this year with increased production and deliveries and reduction in inventories. So we are confident about delivering the €300 million to €500 million cash flow for the full year and the position within this range will partly depend on the level of down payments during the second half of the year. Some details on trade working cap. So trade working cap stood at €2.193 billion positive, so 45 days of sales at the end of September, an increase of €527 million, or 11 days since March, largely reflecting seasonality. Looking at the details, inventories stood at 85 days, up from 79 at the end of March. We expect inventories to trend towards around 75 days in normative approach. Payables, receivables and other current assets and liabilities remain stable in terms of date of sales compared to March. Notably, client overdues are kept at a low level indicating resolution of some long-standing issues with specific customers. Looking at contract working cap on Slide 20. It was a negative €4.645 billion and a €15 million improvement. It stood at negative 94 days at the end of the first half. This is consistent with the level at the end of March and favorable compared to the negative 72 days reached at the same time last year. Positive drivers include a lower level of contract assets versus September 2023, in part, thanks to the progress on Aventra deliveries favorable progress payments profiles in both rolling stock and systems, but also strong order intake linked to higher down payments. On the other hand, while growth in service and signaling is beneficial for margins, it does consume cash as both activities require positive net contract working cap. For the full year, we confirm our last May guidance of a level of down payment consistent with the full year of 2023/2024, which means that down payments are more first half weighted this year. Finally, provisions on risk and contracts have been reducing as planned. Turning to Slide 21. Net financial debt decreased to €927 million at the end of September from €3 billion at the end of March 2024, three main moving parts here. First, of course, the deleveraging plan brought more than €2.3 billion cash inflow over the semester. As a reminder, the sale of TMH was completed last fiscal year for €75 million and bridges the gap with the €2.4 billion of the total plan. Second, free cash flow was negative €138 million. Last the first coupon on the hybrid bond, which is treated as dividends under IFRS. Together, combined with leases amounted to nearly €100 million cash outflow in the first half. You will find in the appendix of this presentation, the updated bridge computation from enterprise value to equity value, reflecting the recent change in capital structure. Finally, turning to cash and debt profile at the end of September. On the right-hand side, you can see there is no change to the senior debt profile. The group benefits from a favorable maturity profile under current market condition with no redemption before October 2026 and an average interest rate of 22 bps. On the left-hand side, you can see the €2 billion improvement in the cash, cash equivalent and short-term debt profile. As we announced at the time the rights issue, short-term debt has been fully repaid for a total amount of €1.2 billion. Cash and cash equivalents amount to €1.8 billion with €949 million invested in bank term deposits and in money market funds at the end of September. As a side note, Alstom will continue to use commercial paper and revolving credit facility for liquidity needs going forward to manage short-term working capital funding requirement as it is flexible and efficient. Henri, over to you for the conclusion.
Henri Poupart-Lafarge: Thank you. Thank you, Bernard. Thank you. Turning now to the outlook. So again, the key conditions that underpin our 2024-2025 outlook has been made until now. H1 actual performance, give us actually solid ground to confirm the full year outlook, which we provided in May. Just as a reminder, our book-to-bill above 1. Sales organic growth around 5%, adjusted EBIT around 6.5%. With a higher margin in the second half, as you have understood, thanks to the volume seasonality, classical is seasonality, but also thanks to the timing of cost saving initiatives. Finally, the free cash flow generation to be again in the range of €300 million to €500 million for the full year concern. Regarding the mid-term ambitions, here as well, no change as compared to the framework, which has been provided back in May. So before we open the floor for question and answer, let me wrap up and give you some few words of conclusion. First, the commercial, commercial momentum has been sound in the first half, and we see the demand remaining robust and the pipeline is remaining extremely robust for the coming period. We are continuing to work, and we are continuing to progress on our continuous improvement plan. The end of the integration is now within sight. Recall you that I always said that it will take three, four years, so we will be close to the end of the fourth year, and as Bernard has mentioned, for example, in terms of IT tools now in January, it will be totally done. This is being translated together with our strategy of high quality of order intake with a continuous increase in the gross margin of the backlog, which is -- as you know, for me, the most important indicator today as a sign of our past success, but also as a sign of the future profitability of the company. So we need, as a management, to continue to focus on the delivery of the backlog. And on this rigorous order intake policy that's extremely important. We need to develop and to focus on the project execution in this period, a supply chain management is a challenge, and we need to focus, of course, on time delivery. In parallel, we are going to continue to work on our industrial efficiency on our cost programs in order to improve basic profitability and busy competitiveness of the company. So thank you for your attention. Thank you to all for listening. And now, I think we are going to take questions either to Bernard or myself. Thank you.
Operator: [Operator Instructions] The first question comes from the line of Martin Wilkie calling from Citi. Please go ahead.
Martin Wilkie: Thank you and good evening. It's Martin from Citi. Could you give us a bit more detail on the impact of the supply chain challenges? You have given us some example, but the net effect seems like much of it or maybe even most of it has been offset and revenues are in line. It doesn't look like there's any meaningful drag on gross margin you confirm the guidance. So, is this more that you're building inventory to protect against that and do another measure to protect? Or how should we think of quantify the net effect of that supply chain impact? Thank you.
Henri Poupart-Lafarge: So I think -- thank you, Martin, for the question. I think we have been quite agile in this period to adapt to the situation of supply chain. So we had to focus on a number of suppliers, which are facing some difficulties. And I think we said that we'll have around 60% to 70% of our projects delayed which are due -- the delays of these projects, which are due to supply chain challenges. As you are mentioning, we have achieved our sales target. It could have been even higher if some of the problems were not countered, but it's true that we have managed to continue our production. We have the new projects have been executed. We are managing the engineering of these new projects. So, we are I would say, recording all the engineering milestones of these new projects. So, yes, in domain, in terms of operations, this has disrupted our operations. But as you are just mentioning, I will not say that this has a significant impact on our financial performance. Similarly, as you see the cash of the first year -- first half, sorry, is in line with our expectations. So, we have managed to offset some of the issues through the good commercial momentum, but also we have managed to limit the impact and we had a progress payment, for example, which were much higher than what we had last year, which is a signed -- also a good sign of our delivery. So it could have been even better, but it's true that we have managed and as frustrating as it is to have the supply chain issues, we are mitigating their impact.
Martin Wilkie: Thank you. And the related question to that. I mean, obviously, in the U.S., there's no talk of tariffs. And of course, we don't know what we might be, but I'm sure you're thinking about them already. As you look forward to next year, is tariffs something that you worry about for your U.S. business in terms of adding complexity to that supply chain challenge as well?
Henri Poupart-Lafarge: In the U.S., as you know, we have by American also. So, the supply chain is entirely U.S.-based. for quite a while. I mean, it's 90%, 95% of what we said in the U.S. is being manufactured in the U.S., including the suppliers. So, we -- I don't expect any changes in that perspective. We had to build the supply chain in the U.S. Traditionally, supply chain in the U.S. is also relatively weak because there were bumps into the activity, bumps in order intake, and bumps in the general flow of activity in the U.S. So, we are working actively to manage the supply chain. And to be honest, some of the issues that I was referring to has been localized in the U.S. but we are working on that. So, we don't see any significant moves because of the changes in the political environment.
Martin Wilkie: Great. Thank you very much.
Operator: The next question comes from the line of Daniela Costa from Goldman Sachs. Please go ahead.
Daniela Costa: Hi, thank you so much. Maybe actually one follow-up in the U.S., but in terms of opportunities and sort of what is your outlook given, I guess, sort of the new administration there in terms of rail. And the second one, just regarding labor costs, we're hearing in Europe about a lot of like union negotiation, salary negotiations at this point of the year. Can you just remind us which ones you apply to you and also sort of like any updated views on the cost of restructuring, especially given a lot of the German news flow we hear regarding--? Thank you.
Henri Poupart-Lafarge: So, in the U.S., on the market side, as you may recall, the Job & Infrastructure Act first add back now for quite a while and was a bipartisan act. We have not seen -- and of course, we are not getting any move in that respect. The impact is, one is the amount of money which has been given or which is being given to Amtrak and we have a number of opportunities on the back of this renewed investment from Amtrak on rolling stock. There are also a number of co-financing of some projects, and that's both, I would say, with municipal projects, urban projects as well as some very large projects. Some of them have been already delayed. So I would say that we think that the immediate project that we are baking on will be there. On the long-term basis, it remains to be seen whether the co-financing will continue to be there. But we believe that everything which has been launched and which is in the pipeline today will be definitely tendered. On the salary, as you probably know, because of our financial year, we are starting a little bit after everybody. So we have not yet started any negotiation with the unions. We are just at the beginning of the process. This process usually happens in the month of Jan, Feb. So of course, it's -- to be honest, it's a complicated situation because you had a peak in inflation. Now the inflation has gone down quite tremendously, particularly in Europe. So we need to adjust and people have to adjust their expectations according to the new inflation environment. So that will have to be done. And I understand that this could cause some discussions with unions, but I think we'll be -- we'll face that quite directly. In terms of restructuring, maybe I should hand over the floor to Bernard. I just want to emphasize and to remind, I said it during my introductory comments, but yes, we are entering into this phase where we wanted to optimize our industrial platform. This was, I would say, the last phase of the integration after solving the technical issues, after having deployed our processes and tools and lean management, in particular, that we are entering into a more in-depth restructuring, and you have seen that in Germany, which has been announced with, by the way, a site closure, which has been announced quite recently.
Bernard Delpit: Yeah. Before jumping to restructuring, let's say that the news from what happened in Germany, I mean, the agreement between Igebetal and the bosses in terms of wage increase, I mean, something like 5% over two years. I think we welcome it because it's consistent with our own assumptions in this country. So it's no negative impact on us. So back to restructuring now. So as you can see, negligible P&L impact in H1 and not expecting any additional meaningful P&L in H2 unless we announce some new plans on top of what we have already announced. So we have a €230 million provisions. It will allow us to manage both the overhead reduction plans that we announced last year and industrial restructuring, notably in Germany. And the cash out on H1 was €26 million. We expect it to be in the region of €50 million in H2. And in H1, it relates to different geographies, including Derby, where we are rightsizing the plant factory there as we are at the end of the Aventra program in terms of manufacturing.
Daniela Costa: Understand. Thank you.
Operator: The next question comes from the line of Akash Gupta calling from JPMorgan. Please go ahead.
Akash Gupta: Yes, hi, good evening and thanks for your time. I got a couple of questions as well, and I'll ask one at a time. My first one is on your car production outlook. So you have reduced that to 4,400 to 4,600 from 4,800 to 5,000 that you guided with the full year results. And can we say this is entirely driven by the supply chain issues? Or are there any other factors? And then can you also talk about P&L and the cash flow implication of this lower car body production in 2024-2025 year?
Henri Poupart-Lafarge: Thank you, Akash. As I said, if we want to give a rough number, probably 70% is due to these supply chain issues. We have as well some projects in the start-up phase, which are taking more time to get into production. So the ramp-up of this production is not that the ramp-up itself is delayed, but the start of the ramp-up is being delayed because of some engineering discussion with customers when we are developing actually the trends themselves. So I'd say one-third about the development, two-thirds about the supply chain. So yes, it has some cash impact. Of course, if we manage and back to what I was saying, if we manage it well, it has a much less cash impact than what was the problem that we faced in previous years where we had a number of trains. You remember, I was saying with a number of trains between the end of the workshop and the delivery to the customer. And when we have this issue that we are facing some technical issues on the trains, retrofit are needed. I mean the, I would say, the most -- the largest example of that is Aventra what we call PC9 internally, which is the end of the production. All the cars have gone through this PC9, but a lot of car remains to be deferred with the PC11. So this is a place where you have a huge cash issue. If you manage well the production flow, and we have now put that back under control then it delays all production, so you don't build up necessarily inventories and so forth. You are just adapting your production flow. So it creates some complexities because, again, you are late, and that's not what we aim to. But it does not have this massive cash impact that we had to face in the past when we had this particular technological issue. I would say, we can -- to make it simple, we can equalize cash out and cash in, and that was not the case in the past. That's why we can confirm the guidance despite this decrease in our car production.
Akash Gupta: And then my follow-up is on protection against contractual damages from supply chain issues. So maybe if you can talk about what mechanism do you have in your contracts? And does it cover all of the rolling stock and systems backlog? Or there is still some legacy backlog, which is not covered where you don't have adequate protection from the supply chain issues, which are beyond your control? Thank you.
Henri Poupart-Lafarge: To be honest, we have always risk. We have always a risk linked to the supply chain issues. You cannot totally pass to the suppliers. So even though we have improved quite significantly our contract management and supplier management in the recent years, but it's not perfect, because you cannot pass to a supplier, which is supplying a relatively small component, the full impact of the delay of this component. So you can, of course, when there is a technical issue so to say, oblige the supplier to deliver the right one with the right quality and deliver it again and again and again, up until it's good. But in terms of delay, you cannot pass everything. That's why in our projects, we have, in general, some contingencies for that. We know that it happens. So this is something that we need to mitigate. We can, in some senses, we can claim with the suppliers, but it's not always perfect and always possible. But in that front as well, we've done some good progress in the recent year in our contract management.
Akash Gupta: Thank you.
Operator: The next question is from James Moore calling from Redburn Atlantic. Please go ahead.
James Moore: Yes, good evening everyone. Thanks for the time. I wondered if I could start with down payments. Would it be possible to say what the down payment in euros was in the first half and what it was for the full year last year? And perhaps more importantly, as a percentage of the revenues of the Rolling Stock business, could you give us a flavor for how that number has progressed and I guess the final question on this is, it looks to me like you've got a strong tender pipe for the second half. Are we sure we're not going to get another good second half for down payments?
Henri Poupart-Lafarge: I think I will leave it to Bernard on this one. Let me say it's always complex to, of course, forecast the order intake. We don't have so many orders that we have already been awarded and which have yet to be booked. We have the one [indiscernible], for example, which is when we have preferred the supplier, but not yet fully finalized. We had finance projects, and this is in line with our strategy. It's not like it has not come by chance. And therefore, we had a high level of down payments on some of our major projects. But for more details, I will give it to Bernard.
Bernard Delpit: Yes, James, of course, we will not disclose the exact number of down payments in euros. I guess, if we want to look at H2 numbers, as we say that total down payments for the full year will be consistent with what we had last year. So -- but let me tell you that we haven't seen a major change in the behavior of the clients and in the way we handle tenders. On the total order intake, I would say that the 8% to 10% average is the way to look at that. And again, it's an average because on rolling stock we have, let's say, a range between 15% and 20%, it's also a high on turnkey project where it's low, if not nil, on Signaling and by definition, nil on Services. So, no change in what we see in the landscape in terms of down payments. And above all, we keep the same guidance for the full year. It's just the phasing that has slightly changed versus what we expected in May, and it's fair to say that it has been H1 weighted for the year, which is something that we didn't exactly expect like that in mind.
James Moore: That's really helpful. Thanks. Could I just follow up with a question on tariffs? And if the new US administration adopts, could you just remind us where we are now on what proportion of your business has escalated? I think if we were to go back three, four years ago, there was a significant part of the business that wasn't mechanically covered. In the instance of tariffs, are we now in a position where the majority of orders have an escalation clause that would be an automatic pass through. I wondered, if you could help us on thinking about that.
Henri Poupart-Lafarge: So two things or three things. First, again, in the US, all our supply chain is based in the US. So we are not impacted directly by tariffs on this front. Secondly, the discussion close that you are mentioning is more related to inflation and now, yes, all the new contracts are this kind of question closed. And I think there was 75% of our backlog -- 75% of our backlog is fully covered and this is relatively short term. So on this one, as you said, since the inflation peak, the market conditions have globally changed. Last on tariffs itself. We have a change in low closures in a number of our projects. So if there was like not only in the U.S., but a global commercial war and tariffs were popping up everywhere. We are protected by change in low closes in the last proportion of our projects.
James Moore: Thank you very much,
Operator: And the next question comes from Andre Kukhnin calling from UBS. So, please go ahead.
Andre Kukhnin: Good evening, everyone. Thank you very much for taking the question. Maybe I'll start with one on margins. For the second half, you outlined a couple of moving parts there, like higher expected cost savings and also higher R&D to sales. Could you just give us some idea of the order of magnitude of the numbers there on kind of how much of cost savings do you expect in the second half versus how much was delivered in the first half and similar in our R&D increase?
Bernard Delpit: Okay. Thank you, Andre. I will take this one. So as you said, I mean, it's quite simple, and I would say consistent with the midterm guidance that we've given in May. So we expect H2 year-on-year to increase, thanks to volume and mix. Industrial efficiencies, including seasonality, which is a usual as we have more volumes in H2 than in H1. The full impact of the SG&A savings that we started last year. And we believe that scope will be slightly negative. So the moving parts are volumes and mix. I would say that, kind of 40 bps increase is how I look at H2 year-on-year. Efficiencies, industrial efficiencies, 20 bps, SG&A around 40. So rounded numbers, but this is how you should look at H2 adjusted EBIT versus last year.
Andre Kukhnin: That's really helpful. Thank you very much. Can I just follow-up on Aventra, as you are gearing up to close out this contract, could we expect an associated kind of provision release depending on how that goes. And I assume that's not in the guidance given the bridge that you've just given us. Is that right?
Henri Poupart-Lafarge: Yeah. I think it's too early to say that. I think we are still, as we said, in the finalization of all the projects and the contracts of -- we are more and more into the contract negotiation and less and less in production. I said on retrofit, most of the cars have been retrofitted now, but we still need to finalize. So it's too early to say what we can expect from these negotiations and to say whether that will be a continuous trend or P&L or an upside. We expect that stage to be neutral.
Andre Kukhnin: Thank you. And very final one, just on the free cash flow, obviously, H1 delivery versus full year guidance unchanged. You've just mentioned and announced that James' question that is purely phasing. I just wanted to triple check that this is purely phasing of contract working capital and hence, no change? Or is there anything else we should keep in mind for H2?
Bernard Delpit: No, Andre, it's purely the phasing of down payments. That's why we do not change the full year guidance. Of course, H2 will be, I would say, below what could be -- what was the initial view. We will deliver above €500 million of free cash flow in H2, and that will be a combination of EBITDA growth, less NOE, but less dividends from JV versus last year and the reversal of working cap in terms of inventories. That's basically the moving part. But coming back to your initial question, the phasing of down payments is what I explained why the H1 was stronger than expected in terms of free cash flow and why as we do not change our total figure for down payments versus our initial guidance we do not change the full year guidance for free cash flow. So €300 million to €500 million positive.
Andre Kukhnin: Great. Thank you very much.
Operator: The next question comes from the line of Gael de-Bray calling from Deutsche Bank. Please go ahead.
Gael de-Bray: Thank you very much. Good evening, everybody. I have a couple of clarifications, please. The first one is about the guidance. I mean, you've talked a bit about these new supply chain challenges. So does it mean you feel a bit less comfortable now than a few months ago with the revenue and margin objective for this year? I mean this target is going to be reached, but rather from the south.
Henri Poupart-Lafarge: As I said, the first half has been a good first half, and we have managed to mitigate this impact. We see the supply chain issues improving, and we have worked quite a lot during the first six months, and we've seen for all the month of October, I know one month is not the end of the day, but it was the month of October was a good month. So we tend to believe that there will be an improvement during the second half on this one. So we have mitigated well. We will be a second half, so we are confirming our guidance whether it would be slightly above say below. I mean it's -- we are confirming the guidance at that stage.
Gael de-Bray: Understood. And then the second clarification is on the free cash flow dynamics. I mean, specifically, you commented, I think, that you completed the transaction with Rock Rail for the sale of the Talent 3 trains. And I think there was around €200 million at play here. So was it included in the H1 free cash flow?
Bernard Delpit: Yes. Yes, it was included both in the guidance and in actuals in H1.
Gael de-Bray: It was in the guidance. Okay. All right.
Bernard-Pierre Delpit: Definitely.
Gael de-Bray: Okay. All right.
Bernard-Pierre Delpit: By the way, Gael, we've been working on this deal for quite a long time now. And what happened is that last year, it was not completed, but we leased the fleet. And now we have completed the sale to Rock Rail. So there is a -- you can see, by the way, that because we lease the trains to Rock Rail and we sublease the trains to the clients that we founded last year. So that explains why it was a kind of continuum of operations, and that's why it was naturally baked in our guidance in H1.
Gael de-Bray: Okay. Clear. And then maybe the final one is a follow-up cash question earlier. Could you talk about the conversations maybe you're having with customers on the delayed projects? I know you have contingencies for this, but at what moment shall we be perhaps a bit more concerned about potential penalties, potential provisions?
Bernard Delpit: As you can imagine, this is our day-to-day life. We have improved because I don't want to give the impression of the bad picture. Globally, we are continuing to improve the portfolio. So if you take the number of cars delayed, so the cars which are being expected by the customers, but which have not yet been produced -- or delivered, sorry. This is at a record low at the end of October. So we are continuously improving the situation. Just mentioning that we have difficulties, which are different from one year to another year. And the degree of this year are concentrated on the supply chain issues. And of course, we have, I would say, continued discussions with our customers and the consequences of that. We are mitigating these consequences in terms of cash, as I said, and we're also mitigating the consequences in terms of customer relationship. But this is today, I would say, the challenge of the year.
Gael de-Bray: Thank you very much.
Operator: And the next question is from Vlad Sergievskii calling from Barclays. Please go ahead.
Vlad Sergievskii: Yes. Good evening, gentlemen. Thanks very much for taking my two questions. I'll ask them one by one. And first one would be a follow-up on down payments. If I just look at contract liabilities, those were up by €1.5 billion in the past 12 months. It's a 25% very big increase. They are up €500 million this half as well. And if I look at the backlog evolution, the backlog up as well, but only by 5% in the past 12 months. Could you explain the disconnect? Why contract liabilities growing so much faster than the backlog.
Bernard Delpit: It's just a question of down payments that we received in H1.
Vlad Sergievskii: So is it fair then to assume that this ratio backlog to contract liabilities will go back to where it historically was, to go back to where it was, let's say, 12 months ago or it's this new level which you are planning to maintain?
Bernard Delpit: Frankly, you should focus on the net of assets and liabilities. And the story here is that we've kept it stable in terms of working cap from March. And it's a combination of execution of some contracts and new contracts that we have booked and that have brought some down payments. So definitely, it's really -- I think it makes even more complex things when you try to differentiate asset evolution and liability evolution. You should have a look at the net and the net is timer.
Vlad Sergievskii: Understood. And maybe my last question on the other side of the net that you highlighted on contract assets now. Obviously, there has been a sizable increase of €500 million this half. Would you be able to give us some idea of what's behind it, right? Is it the supply chain challenges? Is it the customers on certain projects not except in sorting cars? Any idea of what's behind this increase? Thank you very much.
Bernard Delpit: It's simply the execution of the backlog. We are in a phase where it has increased. Just to give you an illustration, we said, I think it was last year that the average percentage of completion of our rolling stock backlog was in the region of, let's say, 40% to 43%. Now it has increased. We should be above 45%. So depending on contracts, we have to build some cars, and we need to complete the cars before delivering to the client. It does not flag any specific issues. It's just the life of the backlog.
Vlad Sergievskii: Understood. Thank you very much.
Operator: The next question is from Delphine Brault calling from ODDO BHF. Please go ahead.
Delphine Brault: Yes. Good evening, all. Thanks for taking my questions. I have two quick ones. First, how should we think about gross margin in the P&L for H2? And I ask the second one. Can you maybe provide some color on the level of inventories that has increased in H1? You mentioned seasonality, but maybe if you can guide a little bit on H2. Thank you.
Bernard Delpit: Okay. Good evening, Delphine. I will take this one. What we think is that gross margin in H2 will benefit from higher production volumes and that will drive efficiencies, I would say, other absorption of fixed costs, so it's beneficial to the gross margin. And we do not expect such a negative impact of some legacy contracts on the gross margin going forward. So it might happen, but we need to mitigate that. And I think we have good ways to mitigate that. So basically, in a nutshell, volumes, mix and the fading away of legacy contracts will drive an improvement of the gross margin in H2.
Delphine Brault: Thank you.
Operator: The next question comes from the line of Jonathan Mounsey calling from BNP Paribas. Please go ahead.
Jonathan Mounsey: Hi. Thank you for fitting me in and also, good evening. Maybe just sort of different tack, the dividend. When I look at consensus at least Visible Alpha, it's modeling one to 2025. I mean, trying to check your intentions as regards to this fiscal year. I mean, why pay a dividend when in the first half, you raised cash in the period from investors? And also, what's management's attitude to script dividends when you do reinstate the dividend whenever that is, will you commit to paying an all cash payment instead of how it was before.
Bernard Delpit : Yes, I will take this one. I think we have not discussed this point with the Board today because it's not the right time to do it. We said that we would not resume the payment of dividends before we get to a net zero debt so we are not there yet. So the time will come for this discussion. And the time will come for the way to pay dividends. But frankly, it's not a decision that has been made by the Board. So no reason for us to discuss this at this point.
Jonathan Mounsey: Thank you.
Operator: And the next question comes from the line of William Mackie info Kepler Cheuvreux. Please go ahead.
William Mackie: Good evening. Thanks for the questions. Some sweep up questions, I guess. The first one relates to the guidance on revenues. During the call, you've acknowledge that the railcar deliveries will drop against your previous or initial assumptions from about 4,900 to 4,500 at the midpoint. That's an 8% decline. So I guess, against your baseline assumptions, the rolling stock revenues are going to be lower. So the question on the other side of that is what is better than expected to compensate to allow you to reiterate your growth target for the year.
Bernard Delpit : Well, I will take this one. So, maybe one point to mention here. Even if production was below last year, you've seen that rolling stock revenues have increased by 2% on an organic basis. It means that it's not only a question of volume, it's also a question of the mix. So, when we ramp down with Aventra and we ramp up with other contracts. Here, we have an impact on the, let's say, average euro per car that is positive and that explains why even in a lower production environment, we still have an increase in the revenues of operating stock. So is it below our expectations? Yes, in H1, it was below. It was compensated by a very strong increase in services above what we expected. All-in, we are in line with the, I would say, 5% organic growth of revenues. That's why we keep the guidance as it is today.
William Mackie: Perfect. Thank you. The second relates to the project delay subject. Just to sort of clarify the scope of this. I mean I think you've said that project delayed 60% to 70% of project delays related to supply chain issues. But when we think about the population of projects you have, I think you said 2,500 of which 100 to 110 are problem projects. I mean, what proportion of the projects that you're working on, would you classify as delayed even if they're at record low levels.
Henri Poupart-Lafarge : So just to clarify, yes, we are monitoring closely, as you can imagine, the delivery of our cars with -- not only the car, by the way, the cars or the engineering milestones and so forth with the time which is expected by the customer. So, every time we have delay as compared to what was expected by the customer, this is what we record as a delay and that we look at each time, of course, the reasons why we have this delay. And that's why I said this time, we have a number of issues, and I'd say 60% to 70% indeed related to the supply chain. This is, for example, an impact on serial production. Usually, when we are in serial production, cars are delivered without any particular delays because the situation is stable. I mean the situation is less stable at the beginning of the project unless you have technical issues, but again, as I said, it has been a long time since we had no technical issue. Here, we had some serial production, which has been impacted by some supply chain issues. And here, it's relatively, I mean, simple to account for what has been delayed because of that, we are losing one trend in the first half, for example, and we know that all the trend of the transfer, the line of the trends is being delayed by one week or two weeks, and this is what is causing the overall delays. So, that's how we account for the supply chain issue in our delays.
William Mackie: Thank you. My last and hopefully, quick question. The book-to-bill in H1 on your order intake, 1.25, great. I sense some hesitancy about your strength of conviction of how your tender pipeline will convert in the second half. I mean, are you -- are we -- is there a reasonable scenario that your book-to-bill in H2 falls below 1, which would partly explain some of the timing on predelivery payments.
Henri Poupart-Lafarge: So, for the full year, we are guiding on book to bill above 1. As I said, it's true and maybe you feel it that we have a platform [indiscernible]. We don't have any very large projects which have been awarded. So, there will be a number of news and a kind of important news flow in the coming weeks and months. So, yes, there is some uncertainty on this news flow by definition. And even if we are confident that we are going to win a fair share of this news flow, as you know, we are targeting high quality of order intake. So, we are not -- we don't want to compromise any margin. And if we mentioned it, but the margin in the order intake for the first half is at record high. Again, I said because last year, we had already had record high, higher than what was achieved in the past, even pre-merger level. So, we want to continue this trend. And this puts, of course, some tension and some challenges on that. So, yes, we wait for this news flow during the second half.
William Mackie: Thank you very much. Good evening.
Henri Poupart-Lafarge: I think that’s…
Operator: There are no --
Henri Poupart-Lafarge: Thank you very much. I think this was the end of the questions. So, thank you to all to have listened for this conference call. Happy to talk to you soon for some of you. Again, as a conclusion, this was a good and sound first half. I think good commercial momentum, good progress on our trajectory, which is for me the most important part that we are continuing month-after-month, quarter-after-quarter to improve our situation, to improve integration of the different sites, to be better in our deliveries. And yes, we are facing challenges, and I was not shy in highlighting some of the challenges that we are facing. But we should not lose sight of the main element, which is that quarter-after-quarter, the company is doing better, better in commercial and better in execution. And that's, for me, the most important part of this first half. So, thank you all very much, and talk to you very soon. Thanks a lot.